Operator: Good afternoon. And welcome to the Aterian, Inc. First Quarter Earnings Report Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Ilya Grozovsky, Vice President of Investor Relations and Corporate Development. Please go ahead.
Ilya Grozovsky: Thank you for joining us today to discuss Aterian’s first quarter 2023 earnings results. On today’s call are Yaniv Sarig, Co-Founder and CEO; and Arturo Rodriguez, our Chief Financial Officer. A copy of today’s press release is available on the Investor Relations section of Aterian’s website at iterian.io. I would like to remind you that certain statements we will make in this presentation are forward-looking statements and these forward-looking statements reflect Aterian’s judgment and analysis only as of today and actual results may differ materially from current expectations based on a number of factors affecting Aterian’s business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made in this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements that is included in our first quarter earnings release, as well as our filings with the SEC. We do not undertake any obligation to update or alter any forward-looking statements, whether as a result of new information, future events or otherwise. In addition, the company may refer to certain non-GAAP metrics on this call. Explanation of these metrics can be found in the earnings release filed earlier today. With that, I will turn the call over to Yaniv.
Yaniv Sarig: Thank you, Ilya, and thanks everyone on the call. Today on the call, I’m going to go over the following topics. I’ll explain the restructuring we announced today. I’ll go over a few takeaways from the first quarter of this year. And finally, I’ll discuss the strategic considerations we’re focused on as we talked a path forward for Aterian in a rapidly changing e-commerce environment. Today Aterian is making a very difficult decision to undergo a significant restructuring with over 70 of our employees and 30 of our contractors departing the company. My heart goes out to the employees affected. I’m deeply grateful for everyone’s contribution and dedication through all the trials and interpolation will face the way. We all worked hard during the last few years to overcome incredible challenges and we should all be very proud of the resilience and heart we put into getting the company through them. As a leadership team, we always hope that we would not have to reduce our headcount and we work very hard to look for a path forward that will keep us all together. Unfortunately, we’re continuing to face headwinds and we have to make the required changes to reach profitability. During the pandemic we experienced rapid e-commerce growth and executed an aggressive M&A strategy that we believe would be accrued to Aterian. We believe that the trend will continue and that our current team was correctly sized to support Aterian’s expected trajectory. Unfortunately, like many other retailers and e-commerce companies, we were wrong. We underestimated the economic impact and the -- of the -- an overheating economy as a result of COV19. As I mentioned, we fought hard to keep our teams together for the last two years through many obstacles, including severe supply chain disruptions, inflation, reduced demand for e-commerce goods, excess inventory and reduced contribution margin. Since the beginning of the year, everyone in team worked tirelessly to fix those issues. While we were looking for additional M&A deal flow that would allow us to increase our contribution margin with hope to jump-start the company’s path to profitability and restart the growth flywheel. Despite our efforts and exploration of several opportunities, we cannot get comfortable with executing on our transaction that would get us to sustainability and ultimately decided it we make more sense to cut fixed costs to achieve adjusted EBITDA profitability starting in the second half of this year. It’s very important to clarify that we continue to be very optimistic about our M&A strategy and we believe we continue to be the very positioned to execute at scale. Unfortunately, just like us, many of the targets we’re considering in these deals are dealing with similar challenges to ours and the timing of the discussion has not been ideal. As normalization continues to happen in our industry, we believe that we will be in a better position to evaluate the acquisitions on some of these businesses in a much more stable environment. While we continue to work towards these goals, today, we’re becoming a more efficient company in adjusting to a world where growth without profitability is no longer value. We’ll focus 100% on getting to that goal first and working on a long-term plan where growth and profitability go hand-in-hand. It might take us longer to guess what we hope to get more patient and committed to our mission. With regards to our first quarter results, we continue to be pleased with our efforts to normalize our inventory levels and cost. Our inventory levels and cost basis entering the second half are normalized versus where they were last year. As a reminder, due to the shipping container cost skyrocketing in 2021 and 2022, consumer brands across our industry were forced to ship goods at an average cost of $70,000 per container to stay in business. These additional costs that we incurred as well forced us to increase our product prices by an average of 20%, only to generate an average of 8% contribution margin, with some of our products seeing as low as 6% contribution margin versus our target of 15% CM at a normal price. As we enter the second half of the year, our EBITDA -- our inventory and cost basis is going to improve substantially as our average cost per shipping container has dropped to pre-pandemic levels. We remain optimistic that the lower cost of goods, combined with our fixed cost cutting efforts, we will be able to deliver on our promise to the profitable at the adjusted EBITDA level in the second half of 2023. I’d like now to speak a bit about the long-term strategy for Aterian and give our view of where we believe the industry is going. We’ll continue to look for accretive M&A opportunities and have discussions with companies in our industry who are facing similar challenges with us. There are several active consolidation efforts that we’re aware of within our peer group in the private markets and we’ll continue to follow those. We’re also very carefully studying the new AI revolution led by breakthroughs in large language models. We believe that the exponential progress achieved in this field in the last six months will have a massive impact on our industry and the world in general. As we look forward to the next five-plus years, we believe that we need to take steps now to adjust to these changes as they will arrive faster than anyone expects. We’re especially focused on what we believe will happen to the consumer journey of the future. Specifically, we believe that conversational product recommendation agents will play a very big role and potentially in the long-term replace the way search -- consumer search for products today. This is very meaningful for Aterian, given that our approach to launching consumer products has always been driven by the analytics and predictions related to consumer demand. While COVID and the ensuing economic world have disrupted our business, we believe that over the next five years, our current position actually puts Aterian in a more favorable spot to make the changes that will give us an advantage in the industry. Strangely had these events of the last two years not occurred and had our business thrive today, it might have even been more difficult to make the adjustments needed to adapt to a future that is battling towards every company to the incredible speed. It’s a bit early to share what the changes we’re working on mean for Aterian and our focus is, first and foremost, on making our core business profitable. One other thing that we can speak about today is our belief that we should further balance our efforts with regards to brand versus performance marketing. For those who are familiar with the distinction, performance marketing often refers to a more transactional marketing approach where we look to convert consumers who are in the market for a product that will solve a problem for them, regardless of a particular branding. Brand marketing refers to the effort of making people think about our brands when they encounter a similar problem as opposed to searching for the best possible product. Historically, Aterian has developed a very performance oriented consumer platform. Most of our brands are not well known, but they performed well through our expertise in analytics and performance marketing for specific products. Going forward, we will balance this effort and build more brand awareness for several of our portfolio assets. To close my remarks on this call, this is a difficult day for our company, but also a step in the necessary direction to pursue a mission. Despite the challenges we have and are facing, we believe that the efforts we’re making will pay off in the long run and we look forward to sharing more details on our long-term strategy to become the leading e-commerce consumer platform in future quarters. With that, I’ll pass it on to Arty to discuss the financial results.
Arturo Rodriguez: Thank you, Yaniv, and good day, everyone. Here are the financial performance details of our first quarter. For the first quarter of 2023, net revenues declined 16.3% to $34.9 million from $41.7 million in the year ago quarter, primarily due to reduced consumer demand, offset by our strategic initiatives to sell off higher priced inventory and normalized inventory levels. Looking at our first quarter net revenue by phase, the $34.9 million broke down as follows; 28.6 million sustained, $0.2 million in launch and $6.1 million in liquidate and inventory normalization. The year ago quarter net revenue of $41.7 million by phase broke down as follows; $38.0 million in sustained, $0.8 million in launch and $2.9 million in liquidate and inventory normalization. Our sustained net revenue decrease of $9.4 million related to some revenue shifting into liquidation phase and general consumer softness. Our liquidation net revenue increased by $3.2 million from our strategic initiative to sell off higher priced inventory to normalize inventory levels. Our launch revenue in the quarter was slightly lower and the revenues attributed to new valuation of existing products. We are planning new product introductions in 2023, though the timing will be opportunistic. Overall gross margin for the first quarter declined to 54.8% from 56.6% in the year ago quarter, but increased from 37.1% in Q4 2022. Our decrease in margins in the quarter versus year ago quarters primarily attributed to our strategic initiatives to sell off higher priced inventory normalized inventory levels. Our overall Q1 contribution margin as defined in our earnings release was 5.9%, which decreased compared to prior year CM of 9.2%, but increase compared to fourth quarter 2022 of a negative 11.5%. The year-over-year decline is primarily attributable to higher liquidation revenue from our strategic initiative to sell off higher priced inventory and normalized inventory levels. Our Q1 2023 saw our sustained product contribution margin essentially unchanged year-over-year at 12.6% versus 12.5% in Q1 2022. We expect our sustained contribution margin improved sequentially as we progress in the second half of 2023. Looking deeper into our contribution margin for Q1 2023, our variable sales and distribution expense as a percentage of net revenues increased to 48.8%, as compared to 47.5% in the year ago quarter. This increase in sales and distribution expenses is predominantly due to the product mix, an increase in e-commerce platform service provider fulfillment fees and an increase in the last mile shipping costs, specifically for oversize goods. We do expect our sales and distribution expenses as a percentage of net revenues to improve as we progressed in the second half of 2023. Our operating loss for the quarter of $25 million improved by 30% from $36.2 million in the year ago quarter, as we continue to normalize our business from the impacts of supply chain and strengthen our balance sheet. Our first quarter 2023 operating loss includes $2.3 million of non-cash stock compensation, a non-cash loss of intangibles of $16.7 million. Our first quarter 2022 operating loss includes $2.8 million of non-cash stock compensation, a non-cash loss on goodwill of $29 million and a positive change in fair value of contingent earn-out liability of $2.8 million. Our net loss for the quarter of $25.8 million improved by 39% from $42.8 million in the year ago quarter as we continue to normalize our business from the impact of the supply chain strengthen our balance sheet. Our first quarter 2023 net loss includes $2.3 million of non-cash stock compensation, a non-cash loss of intangible of $16.7 million and a gain of $0.4 million of the fair value warrant liabilities. Our first quarter 2022 net loss includes a non-cash loss of goodwill of $29 million, $2.3 million non-cash stock compensation expense, impacts related to the equity issuance and warrants of $7.6 million, $2.0 million from the gain on settlement from seller note and $2.8 million gain on change in fair value of the earn-out. Adjusted EBITDA loss of $4.3 million as defined in our earnings release, improved from a loss of $4.5 million in the first quarter of 2022. Our strategic decision of liquidating higher cost inventory and normalizing our inventory levels impacted our adjusted EBITDA in the period. However, this is a very important effort that puts us on a path to get back to stronger contribution margins and adjusted EBITDA profitability in the second half of 2023 and strengthens our balance sheet. Going to the balance sheet. At March 31st, we had cash of approximately $33.9 million, compared to $43.6 million at the end of December 31, 2022. This decrease in cash, as expected, is predominantly driven by our net loss in the period, $1.6 million in net flows, outflows from working capital and repayments of approximately $2.1 million of our credit facility. We continue to normalize inventory levels in the first quarter of 2023 by liquidating our higher cost inventory and are on track to completing this effort in the second quarter. At March 31st, our inventory level was $40.4 million, down from $43.7 million at the end of the fourth quarter of 2022 and down from $75.4 million in a year ago quarter. Our credit facility balance at the end of the first quarter of 2023 was $19.1 million, down from $21.1 million at the end of the fourth quarter of 2022. As we look at Q2 2023, taking account the impact on inflation and reduction in consumer spend, we believe net revenues will be between $37 million and $44 million. This represents a decrease in the same quarter last year of approximately 30% using the middle of the range. We expect to continue to see similar softness in the remainder of the year. For Q2 2023, we expect adjusted EBITDA loss to be in the range of $5.2 million to $6.2 million, including the estimated restructuring impact of $1 million from our workforce reduction. With our annual -- announced annualized savings of $6 million from our workforce reduction offsetting our continued expectation of softness in consumer spend, we continue to be on the path to reach our target of adjusted EBITDA profitability in the second half of 2023. In closing, we announced difficult decisions, which will impact our workforce. But we will be think of it to many colleagues these impacts will ultimately make Aterian strong. With our continued focus on efficiency, we continue to progress on our path towards adjusted EBITDA profitability in the second half of 2023. The past 12 months, we spent a great amount of time focusing on strengthening our balance sheet to ensure we can navigate the uncertainties ahead. We believe we’ve accomplished this, and today, our balance sheet is strong, with our cash balance, our normalized inventory levels and continued access to our credit facility with midcap, we believe we have the flexibility to navigate the current macroeconomic environment as it continues to unfold and further allows us to be laser-focused on driving our core business. With that, I’ll turn it back to the Operator to open the call up to questions.
Operator: [Operator Instructions] And our first question will come from Matt Koranda of ROTH MKM. Please go ahead.
Mike Zabran: Hey, guys. It’s Mike Zabran on for Matt. Maybe just start by speaking to the overall demand environment that we’re seeing. Are there certain product categories requiring deeper discounting than others? Have we noticed any price sensitivity on previously resilient products? And maybe just elaborate on any new or persistent trends we’re noticing from the end consumer?
Yaniv Sarig: Yeah. Yaniv here. Thanks for the question. Interestingly, the weakness of consumer seems to be across the Board. We don’t have any particular category that we believe is down because of consumer issues. So really, can you look across the Board and you see overall less traffic to some of the biggest websites like the big channels that we sell on. So, overall, consumer demand seems to be weak across the Board.
Mike Zabran: Got it. Makes sense. And great to see margins recovering and coming in a bit better than expected. Help us understand to what degree does the adjusted EBITDA profitability target rely on less inventory liquidation versus overall demand normalization versus maybe new products driving incremental demand?
Yaniv Sarig: Arty, do you want to answer that?
Arturo Rodriguez: Yeah. Thanks. Thanks, Yaniv. Yeah. So, I think, listen, we said for the last few quarters that, normalizing the inventory levels and clearing out much more expensive inventory was very key in us getting back to the adjusted EBITDA profitability targets that we’ve mentioned. I think we’re saying that we believe, we’re on track to get to complete that mission, I think, by the end of Q2. In fairness, we’re always going to have inventory longness and normalization. It’s just it was considering the supply chain issues that we ran into in 2021, it was just an exorbitant amount that was not accustomed to normal business. So now that we’re kind of getting back to normal business that’s step one in it. So getting back to inventory levels. I think when we naturally do that, considering containers are back down to, I would say, 2019 pricing, we do expect in the second half of this year that our contribution margins will improve to get back closer to normal. I think those combinations are really the key drivers for us to get to profitability. And lastly the -- last part of that question was just consumer demand. Listen, we made these fixed cost cuts. They were very difficult decisions. It does bring our fixed costs down by $6 million annualized -- on an annualized basis, including that assuming that we continue to see some of the softness consumer damage we mentioned -- consumer demand that we mentioned, I think, those three things are really why we can get back to that adjusted EBITDA profitability in the second half.
Mike Zabran: Makes sense. That’s helpful. Last one for me. Obviously, bottomline is still constricted a bit by selling in distro expenses. Maybe just elaborate on what exactly needs to happen for us to see selling the distribution leverage in the back half of the year? And is 2021 a good proxy to use. I think we are floating around the 46% to 48% of sales range, whereas for the past couple of quarters, we’ve been kind of mid to 5 or mid-to-high 50s. So 2021 to get a proxy use and what exactly needs to happen to see meaningful leverage in the back half of the year?
Yaniv Sarig: Arty, do you want to take that as well?
Arturo Rodriguez: Yeah. Thanks, Yaniv. No. I don’t -- I wouldn’t necessarily say 2021 is a good proxy. I think those numbers that you mentioned there, we do see that getting below 50%-ish, right? I think we just did this past quarter 48.8% that we just mentioned, gets us very close. I think the other side, as mentioned in the past, the normalization of container rates will allow our gross margin to pick up a couple of points allow us to get back to normalized pricing, which allow us to increase the velocity. All these things play into that. But I don’t know if we’ll get back to like sub 46% that you’re quoting. I think high 40%s is probably the right number, just like we did this quarter. Maybe you’ll see that improve a point or two over the coming quarters. But certainly, that’s kind of the target we’re going to be. I think you’re right, in Q4 and Q3, we saw those number of these high as 50% or 55%, but I think we’re going to be probably closer to the higher 40%s like Q1 as you’re seeing right now.
Mike Zabran: That’s helpful. Thanks. That’s all for me.
Operator: The next question comes from Brian Kinstlinger of Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Great. Thanks for taking my question. Revenue from sustained was down about 25% year-over-year in the first quarter, and based on 2Q guidance, it appears a year-over-year decline, although, you don’t give guidance on each of the line items is going to accelerate by a meaningful percentage. First of all, is that a sign that you think the economy is getting weaker and traffic is going to get weaker. And then on the other hand, is that the kind of baseline we should think about for the next few quarters is a little more accelerated in the first quarter, so?
Yaniv Sarig: Arty, I think, good one for you to take as well.
Arturo Rodriguez: Yeah. Thanks, Yaniv. Good question, Brian, and good to hear you. Listen, it’s -- as Yaniv said, it’s been -- we’ve seen general sauces across the Board. Search volumes are down on some key sites that we sell on. I think if you go across other news announcements from other companies, you’ve seen that it’s been very difficult and volatile to predict. I do think that we are guiding, and as we said, at the middle of the range, as I quoted, 30% would be the drop off. I think as you get into Q3 and Q4, that we’re not guiding at this point, I would assume that we would see something similar, maybe a little bit less than 30%, maybe it’s like 25%, 28%, but certainly, that’s kind of what we’re looking at right now. Obviously, the other side that be very careful about Q2 and Q3 is always very -- just driven by heat and summer and seasonality, and we saw a lot of even for any season those period. So depending on how that -- how the kind of summer unfolds and sometimes unfolds later and you have a little bit more -- a little bit less numbers in Q2, a little bit more in Q3 and I think right now, weather has been a little bit unpredictable. I think in the sense that we’ve seen a lot of fluctuation there and across the country in general. We’re not going to get to the reasons why we think that, that’s for another time. But, certainly, I think, it does make that a bit difficult. But I think if you’re looking at that similar number going forward, I think, that would be conservative.
Brian Kinstlinger: Great. Follow-up, clearly, you’ve announced the difficult enacting of headcount reductions, given the demand trends. Those cut obviously implied some level need to get to profitability of revenue. What is that new revenue target that gets you roughly to a breakeven on adjusted EBITDA on an annual quarterly basis?
Yaniv Sarig: Well, I guess, this is not really a guidance question you’re asking for a number. Arty, any thoughts on how to answer that in the best way?
Arturo Rodriguez: Yeah. I think, Brian, good question. Listen, I think, a lot of it depends on how our CM unfolds. We’ve always had a target model CM of 15%, right? That’s something we’ve talked about publicly is in a lot of our investor presentations. I don’t think we get there this year, but certainly, I think we’re heading in that right direction. So a lot of it is really going to be a blend, like, again, I’m making up numbers. But if you look -- if you run rate at our fixed costs from the last couple of years, you are kind of in those 30 numbers, we just announced we’re saving fixed or you’re doing $24 million of fixed cost or something like that, right? So I think in some aspects, if you look at $160 million, $170 million depending on the CM, you can probably get to something that’s above adjusted EBITDA, right, profitability, right? If you go a little bit lower, you’re probably at a breakeven. So I think we’re not guiding to that right now, because I think things are a bit volatile and we’re still working on a lot of different things. We’re launching some products that you need to mention. So I think we’re still focused on a lot of things, but I don’t -- in that that could change the numbers to the positive, but I certainly think that it’s going to be a little bit of a split in a sense of how you actually get to that. I think we’re not necessarily targeting what that breakeven point is from a number perspective, we’re just really focused on getting through this restructuring that we’ve announced, getting to cleaning up the inventory, we’re finalized it in Q2, and I think, hopefully, the summer season goes as we expect and we’ll be able to give a little bit better information on those numbers as we progress into August.
Brian Kinstlinger: Great. Thanks. And then the last question I have, based on your comments on the M&A environment and being able to complete some of the acquisitions you may have looked at, should we expect until the market on the stronger footing and the economies on the stronger footing, M&A on hold for now? Is that what I’m reading into those comments?
Yaniv Sarig: Sorry, can you just repeat the last piece of the sentence? Should we expect...
Brian Kinstlinger: Yeah. I am just…
Yaniv Sarig: Just…
Brian Kinstlinger: Sorry. Yeah. I’m just wondering, is M&A essentially, what you want to communicate is on fold right now until the economy is on stronger footing.
Yaniv Sarig: No. I would not say that. I think we’re very actively looking at things. It’s more that the same challenges we have are affecting others. And there’s still, I think, a lot of -- I think on every side, I think, a little bit of wanting to understand what stability is and price discovery around what these assets are looking for forward. And we just like -- again, as we continue to be very active in this environment, we believe there’s still a lot of opportunity and believe that, again, in the long-term, it’s still every part of our strategy. There’s just too much noise for us in some of these situations right now to pull the trigger. That being said, everything is dynamic, right? Just like we are dynamically moving and adjusting these other companies and assets that we’re looking at are also quickly adjusting. And so I wouldn’t say that we would have to wait for any type of normalization. It’s more that we’re going to continue to follow these opportunities very closely. And if the opportunity comes because of the stress or any other momentum thing that’s happening in other company, we might still do something earlier if we can, right? But we just need to get comfortable that what we’re looking at is in a position that we can take it on, right, so. Yeah.
Brian Kinstlinger: Great. Thank you.
Yaniv Sarig: Welcome.
Operator: [Operator Instructions] And our next question will come from Alex Fuhrman of Craig-Hallum Capital Group. Please go ahead.
Alex Fuhrman: Hey, guys. Thanks for taking my question. I wanted to ask about the headcount reduction initiative. Can you give us a sense of what most of the eliminated positions are and your plan to absorb those responsibilities across the rest of the organization? And then it looks like you had two pretty senior positions eliminated as part of this restructuring. Are there going to need to be any hires kind of around the edges to replace some of what you’ve lost or is the thinking that your existing organization minus the 70 employees and 30 contractors can handle pretty much everything you’re talking about now on the current revenue base?
Yaniv Sarig: Yeah. Great question. I’ll start with the end of it, which is in terms of hiring and plans, right? Like, right now, there is no plan to hire any significant role or replace. We believe the current organization is capable of getting us what we need to get on the profitability side. As I mentioned in my remarks, right, the organization was sized and built and designed to rapidly scale to much larger numbers based on the trends that we were seeing back in 2020 and really what’s going to happen really is that the team that’s left is just going to have to work harder, for sure. It’s going to benefit from a lot of things -- tools and infrastructure that we built to automate a lot of things. And had we grown at the speed at which we expected, I think, the team that was here before we had to unfortunately cut our headcounts, that team would have been in a good starting position to scale very, very quickly, right? For the current team today, if all of a sudden, we have the opportunity to scale at a hyperscale, right, which obviously the environment that we live in today doesn’t allow for it, right? It would be much harder, whereas the team that was here before was able to do that and to very quickly adapt to -- in just more companies that we would buy, assimilate them and then run them as well as we can going forward, right? The difference is just we just cannot -- we will not be able to go as fast if we have the opportunity to, but I just don’t believe that the opportunity to move as fast as we thought we could back probably not too long ago, right, that doesn’t seem to be there anymore, right? So, again, bottomline is the team that is today is sized correctly for where we’re trying to get to profitability, and from there, we expect to build and grow with profitability and growth kind of going hand-in-hand, right, until the environment changes again, maybe in hyper growth is all the rage and we might reevaluate. But right now, we believe this is a better size them for the environment we’re in and to get us to our goals of profitability. Arty, I don’t know if you want to add anything.
Arturo Rodriguez: Yeah. No. Great answer, Yaniv. Yeah. Listen, we’ve made difficult decisions. We still feel comfortable that this is a good size organization to do what we need to do and to provide growth. Maybe, Yaniv’s point out at the same speed and rigor that we were initially anticipating early in the year. But, certainly, we feel we have the talent and the dedication and the wherewithal to manage the business and grow the business with this team. Yeah, we’re all taking on additional responsibilities. I think that’s kind of in our DNA. We kind of believe we can all do better and be more efficient, and we’re going to try that, and we’re all for the challenge. We’re kind of excited by this, though, it’s sad key colleagues go. I think we got a lot of work to do and I think we’re going to be able to do some exciting things with this team.
Alex Fuhrman: Okay. That’s really helpful. Thank you both.
Yaniv Sarig: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ilya Grozovsky for any closing remarks.
Ilya Grozovsky: Thank you. As part of our shareholder Perks program which, as a reminder, investors can sign up for at aterian.io/perks. Participants have the ability to ask management questions on our earnings call. I wanted to thank all the shareholder Perks participants for their loyalty and their participation in the program and their questions. I have picked a few of the most popular questions that they have submitted. First question is, please update us on the European expansion? Yaniv?
Yaniv Sarig: Yeah. Thanks, Ilya. Yeah. So the good news on that is we continue to add products and we see a lot of opportunity for growth. As we mentioned in previous calls, right, that effort is going to take time just because of the nature of our business and the time that it takes to bring the products from a regulatory perspective, to be compliant with European standards, to manufacture them, to ship them there. So Europe is, again, a very important opportunity for growth for us. It’s just going to take time as we continue to add more and more products there and we look forward to updating one on future calls on the progress that we’re making there.
Ilya Grozovsky: Thanks. Next question is Aterian going bankrupt. Arty or Yaniv.
Yaniv Sarig: Yeah. Let me take that and Arty you can add also. The answer is a category you know we are in a very strong cash position. We have minimal debt with only an ABL and we’re very far from any of the debt covenants. We don’t believe that we have any reason to be worried about anything close to bankruptcy at this point. We just are adapting to the environment and we’re adapting to an environment that favors profitability and making some tough calls along the way, but really that’s it. Arty, I don’t know if you want to add anything.
Arturo Rodriguez: No. Yaniv, well, I mean, listen, we have a great partner with midcap and our credit facility. We have access to increase that credit facility up to $40 million as needed. I think we have very light covenants on that. As Yaniv mentioned, I think, we’re in good shape. As we said, we spent the last 12 months really trying to clean up our balance sheet and strengthen and I think we’ve done a great job there. We’ve got a good cash balance. We have good access to our -- good working capital access through our ABL with midcap. And then, hopefully, we worked hard to normalize this inventory balance, which is going to put us in a good position to continue to run the business and be nimble and flexible as the current environment unfolds.
Ilya Grozovsky: Okay. Thank you. Next question is, is Aterian going to do a reverse split. And over to Arty?
Yaniv Sarig: Yeah. Let me take it and Arty you can add. I mean, to remind everyone, we have 180 days to regain compliance with NASDAQ, then we will probably likely be grant another 180 days. We’re not going to comment further on the stock price, and again, the focus is really on just getting us to second half adjusted EBITDA profitability at this point. Arty, I don’t know if you want to add anything to that?
Arturo Rodriguez: No. I think there’s -- that’s a well said, Yaniv.
Yaniv Sarig: Thanks.
Ilya Grozovsky: Great. This concludes the Q&A portion of the call. In terms of the upcoming calendar, Aterian management will be participating in the Sidoti Microcap Conference May 10th through 11, which will be held virtually and the Oppenheimer Consumer Growth and E-Commerce Conference, which will be held virtually June 12th to 14th. We look forward to speaking with you on future calls and this ends our call. You may now disconnect.